Operator: Greetings, and welcome to MaxLinear's.Q4 2020 Earnings Conference Call. [Operator Instructions] Please note, this conference is being recorded. I would now like to turn the conference over to your host, Brian Nugent. Thank you. You may begin.
Brian Nugent: Thank you, operator. Good afternoon, everyone and thank you for joining us on today’s conference call to discuss MaxLinear's fourth quarter 2020 financial results. Today's call is being hosted by Dr. Kishore Seendripu, CEO and Steve Litchfield, Chief Financial Officer and Chief Corporate Strategy Officer. After our prepared comments, we will take questions. Our comments today include forward-looking statements within the meaning of applicable securities laws, including statements relating to our guidance for first quarter 2021 revenue, revenue growth expectations in our principal target markets, GAAP and non-GAAP gross margin, GAAP and non-GAAP operating expenses, tax expenses and effective tax rate and interest and other expense. In addition, we will make forward-looking statements relating to trends, opportunities and uncertainties in various product and geographic markets, including, without limitation, statements concerning opportunities arising from our recently completed acquisitions of Intel's Home Gateway business and of NanoSemi, growth opportunities for our wireless infrastructure and connectivity markets and opportunities for improved revenues across our target markets. These forward-looking statements involve substantial risks and uncertainties, including integration and employee retention risks associated with the acquisitions as well as risks arising more generally in our business from competition, global trade and export restrictions, potential supply constraints, the impact of COVID-19 pandemic, our dependence on a limited number of customers, average selling price trends and risks that our markets and growth opportunities may not develop as we currently expect and that our assumptions concerning these opportunities may prove incorrect. More information on these and other risks is outlined in the Risk Factors section of our recent SEC filings, including our Form 10-K for the year ended December 31, 2019 and our Form 10-K, for the year ended December 31, 2020, which will be filed in the coming days. Any forward-looking statements are made as of today and MaxLinear has no obligation to update or revise any forward-looking statements. The fourth quarter 2020 earnings release is available in the Investor Relations section of our Web site at maxlinear.com. In addition, we report certain historical financial metrics, including net revenues, gross margins, operating expenses, income or loss from operations, net and other expense, incomes taxes, net income or loss and net income or loss per share on both a GAAP and non-GAAP basis. We encourage investors to review the detailed reconciliation of our GAAP and non-GAAP presentations in the press release available on our Web site. We do not provide a reconciliation of non-GAAP guidance for future periods because of the inherent uncertainty associated with our ability to project certain future charges, including stock-based compensation and its associated tax effects. Non-GAAP financial measures discussed today do not replace the presentation of MaxLinear's GAAP financial results. We are providing this information to enable investors to perform more meaningful comparisons of our operating results in a manner similar to management's analysis of our business. Lastly, this call is being webcast and a replay will be available on our Web Site for 2 weeks. And now, let me turn the call over to Kishore Seendripu, CEO of MaxLinear.
Kishore Seendripu: Thank you, Brian, and good afternoon everyone. Our Q4 financial results were strong and highlight record revenues of 24% sequentially, record cash flow from operations of $74.3 million and non-GAAP gross margin of 57.8%. While our Q4 results and Q1 guidance were impacted by the challenging and intensifying semiconductor manufacturing supply chain constraints, we are taking every possible measure we can to ensure that our customers are minimally impacted, it is our topmost priority. Later in the call, Steve will outline our revised reporting categories but in Q4 our broadband access revenue stood at 58%; infrastructure at 10%; industrial multi-market 15%; and connectivity at 18%. Now turning to some of the Q4 business highlights. In broadband access end market demand remains very strong, driven both by our company's specific drivers and continued strong MSO deployment and subscriber broadband consumption trends. In Q4, we continue to ramp and gain box level market share at a flagship DOCSIS 3.1 U.S. cable MSO platform. Additionally, they are benefiting from increasing SoC and front-end platform content driven by the continuing DOCSIS 3.1 upgrade cycle throughout 2020. Our new broadband access and WiFi SoC assets have added significant breadth to our offering and expanded our served market across not only DOCSIS but also 10G PON fiber and other broadband access gateways. Our connectivity business comprising WiFi, Ethernet, MoCA and G.hn grew strongly in Q4 aided by resumption of MoCA 2.5 shipments to our flagship U.S. telco customer and to a new Canadian telco. We also realized the full quarter impact of our WiFi and Ethernet businesses. We are still in the early stages of penetrating the connectivity opportunities in our own large cable MSO and telco SoC platforms. Additionally, the pace of our investments continues to open up exciting new growth opportunities in connectivity. The WiFi Alliance recently selected our WAV664 platform has an official access point test bed for the emerging WiFi 6E market. Our WAV664 solution enable routers and gateways to deliver 4.8 gigabits per second in the 6-gigahertz band, higher quality user experiences supports up to 256 clients simultaneously and optimizes total network efficiency for high bandwidth and low latency. The expansion to a tri-band WiFi 6E configuration of 6-gigahertz spectrum, combined with legacy 2.4-gigahertz and 5-gigahertz band delivers a three-fold increase in data capacity. We are making similar strides in our Ethernet roadmap development initiatives and look forward to sharing more details in the coming weeks. In optical data center, we are seeing meaningful progress towards mass production ramp of our 400G PAM4 DSP in mid 2021 at our Tier-1 hyperscale data center customer. We also have strong early traction and ongoing adoption of 100G PAM4 offering by Tier-1 customers. Both 100G and 400G PAM4 markets continue to have a tremendous growth outlook and will dominate cloud in edge data center deployments over the next several years. They are on track to sample our Keystone family of 5-nanometer CMOS 800G PAM4 SoC products in mid-2021. Keystone solidifies our ability to capitalize the secular optical internet growth opportunity in the data center market with an industry leading product. We have multiple customers already starting module design and preparation with the chips return. Turning to wireless infrastructure market as expected Q4 revenue declined due to the Huawei trade dynamic impacting our wireless backhaul business. However our booking support a strong Q1 rebound, our customer and new product traction point to strong growth throughout 2021. In 5G wireless access, we have received strong positive feedback on our new 14-nanometer CMOS 5G FF Transceiver, which is the industry's first 8x8 massive MIMO solution. In addition, we are moving aggressively to integrate our highly differentiated and critical design and critical digital Predistortion NanoSemi IP technology into all our next generation 5G platforms. During Q4, we also joined the 5G O-RAN Alliance which is reshaping the radio access network industry into more intelligent open virtualized and fully interoperable mobile networks before they announced that MGI is using our transceiver in its remote radio units targeting Open RAN deployments for 4G and 5G applications. Our high performance analog business enters 2021 with lien channel inventory levels and improving a tax rate funnel and exciting new product development that position us for growth in 2021 and beyond. Specifically, increasing power management attach rates across our broadband infrastructure applications will drive incremental content on our existing platform. We recently announced three new DC/DC power modules focused on powering FPGA, DSP and SoC high current core and memory supply rails, as well as our 5G transceivers long haul optical transceivers and cable infrastructure SoC. We're very excited about our organic infrastructure initiatives combined with our recent two acquisitions we have briefly expanded our TAM which now spans both in high growth and high value broadband connectivity and network infrastructure applications. As a result, we are confident of driving strong profitable growth in 2021 and beyond. With that, let me turn the call over to Mr. Steve Litchfield, our Chief Financial Officer and Chief Corporate Strategy Officer.
Steve Litchfield: Thanks, Kishore. I will first review our Q4 2020 results and then further discuss our outlook for Q1 2021. First, as Kishore alluded to and consistent with our prior updates, we are revising our reporting to align with changing end market conditions and our go forward business priorities and growth opportunities. We will report four categories; in infrastructure, this will be an unchanged category with the products that you have seen from us in the past with our high performance analog data center and wireless infrastructure products. Revenue from this category was 17.9 million in Q4 and 76.2 million in fiscal 2020 versus 85.4 million in fiscal 2019. Our broadband category includes our prior connected home category plus the SSP business from Intel but this category excludes wired connectivity. Revenue from this category was 113.3 million in Q4 and 244.4 million in fiscal 2020 versus 119.3 million in fiscal 2019. Our connectivity category includes primarily our MoCA and G.hn products and WiFi and Ethernet revenues from the Intel transaction. Revenue from this category was 34.4 million in Q4 and 70.7 million in fiscal 2020 versus 33.4 million in fiscal 2019. Industrial and multi-market includes the previously reported revenue plus component revenues from the Intel acquisition. Revenue from this category was 29.2 million in Q4 and 87.3 million in fiscal 2020 versus 79.1 million in fiscal 2019. In terms of the Q4 trends on revenue of 194.7 million, our broadband business was up 38% sequentially, driven by a full quarter impact of the broadband and WiFi business from Intel. As well as continued strong demand from cable products owing to the work from home dynamic, content increases and share gains. Our connectivity business was also up 43% given the acquisition, but was also above our expectations driven primarily by the strength of the WiFi demand. Our infrastructure business declined 17% sequentially driven by wireless backhaul and high performance analog weakness, consistent with our expectations. We do expect the recovery in Q1 as I'll detail in a moment. Our industrial and multi-market business was up 1% sequentially, with expected softness in HBA offset by the fourth quarter impact of the broadband and WiFi assets components related revenue. GAAP and non-GAAP gross margin for the fourth quarter were approximately 42.7% and 57.8% of revenue, respectively. This compares to GAAP gross margin guidance of 40% to 44% and non-GAAP gross margin guidance of 56% to 59%. The delta between GAAP and non-GAAP gross margins in the fourth quarter reflects the amortization of 18.5 million of inventory, fair value adjustments and 7.7 million of acquisition-related and intangible assets, as well as 0.3 million of stock-based compensation and accruals related to our 2020 bonus plan. Fourth quarter GAAP operating expenses were approximately 106.7 million, which was up quarter-over-quarter due to the full quarter impact of the two acquisitions that closed in Q3, partially offset by decreases in acquisition, integration cost and related restructuring costs. GAAP operating expenses included stock-based compensation and stock-based bonus accruals of 23.5 million combined. Amortization of purchased intangible assets of 6.2 million and acquisition cost of 1.2 million. Non-GAAP operating expenses were 75.8 million, up 14.8 million sequentially due primarily to the impact of the two acquisitions that closed during Q3. Moving to the balance sheet and cash flow statement. Cash flow generated from operating activities in the fourth quarter 2020 was 74.3 million versus 16.6 million used in the third quarter of 2020. Our loan balance stood at 370 million factoring and the retirement of 17.2 million during Q4. We have subsequently paid down another 20 million during Q1. We remain consistent in our intentions around uses of cash with priorities on debt pay down and strategic acquisitions. Our day sales outstanding for the fourth quarter was approximately 32 days, compared to 61 days in the prior quarter. Our inventory turns were 4.4 compared to 5.2 in Q3. These metrics are impacted by the timing, purchase price accounting and relative size of the Q3 acquisition. This leads me to our guidance. We currently expect revenue in the first quarter of 2021 to be approximately 200 million to 210 million up 5% sequentially at the midpoint of the guidance range. We expect broadband revenues to be out modestly with growth driven primarily by cable front ends and SoC. We expect infrastructure revenue to be up significantly primarily driven by wireless backhaul. We expect our industrial multi-market revenues to be flat to slightly up, while connectivity will be flat to slightly down. Like much of the industry, we are working closely with our suppliers to address current supply constraints in the market, as these constraints have become a challenge in delivering to our current customer domain. We saw limitations in Q4 and continue to see impacts in the first half of 2021, which could impact the mix. We expect first quarter GAAP gross profit margin to be approximately 51.5% to 53.5% of revenue and non-GAAP gross profit margins to be approximately 57.5% to 59.5% of revenue up 70 basis points from the previous quarter at the midpoint of the range. As a reminder, our gross profit margin percentage forecasts could vary plus or minus 2% depending on product mix and other factors. We continue to fund strategic development programs targeted at delivering strong top-line growth in 2021 and beyond, with particular focus on infrastructure and connectivity initiatives and our stated goal of increasing the operating leverage in the business. We expect Q1 2021 GAAP operating expenses to decrease approximately $2 million quarter-on-quarter to a range of 103 million to 107 million driven mainly by the reduction in integration related activities partially offset by seasonal payroll step up and headcount additions. We expect Q1 2021 non-GAAP operating expenses to be down approximately $2 million sequentially to a range of 72 million to 76 million. We expect GAAP tax expense to be approximately zero and non-GAAP tax rate of 6%. We expect GAAP interest and other expense to be 4.3 million to 4.5 million and non-GAAP interest and other expense to be 4 million to 4.2 million. In closing, we're pleased to report improving dynamics in all of our businesses based on strengthening product cycles improve market dynamics and share gains. Our infrastructure efforts in PAM4 and 5G continued to set up well with meaningful growth coming in 2021 and beyond as production platforms begin to ramp. We're also pleased with both the near-term customer traction and development milestones in our WiFi business. We are intent and supporting customers through a dynamic market environment with accelerating demand and intensifying supply constraints. We remain focused on maintaining strong profitability and cash flow generation while continuing to execute on our integration efforts as well as our organic infrastructure development. With these profitable growth initiatives, we believe we are uniquely positioned to deliver strong leverage in our business in 2021. With that, I'd like to turn the call back over to the operator for questions.
Operator: At this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Tore Svanberg with Stifel.
Tore Svanberg: Congratulations on the results. First question is on visibility. I mean, I assume you guys are pretty booked. But perhaps can you talk a bit about visibility beyond the March quarter? And also as it relates to capacity? Are you taking some actions to perhaps expand your capacity at this point?
Steve Litchfield: So absolutely, visibility is extremely good right now and bookings at record levels, and we really did have a tremendous quarter. Yeah, these supply constraints are a bit challenging for us. And we're trying to do our best to resolve them as quickly as possible. Are there actions? There's lots of actions? I mean, there's numerous things that our operations teams have been working on. I do think I mean, there's lots of speculation as to how long this will continue. I think we have certain issues that are going to have a bigger impact in the first half of the year, Q1 and Q2. And then, but I also think that there probably be some restrictions that even limit some abilities even in the second half of the year. So I can't give you specific actions. It's a long list that we're working diligently to reconcile.
Kishore Seendripu: So, Tore also having said that, our guidance contemplates those dynamics. And all the bookings are incredibly strong. We really measure our business performance based on throughput of our revenues and so, we are temporary in that matter as well. Meanwhile, like I said, in my section of the call, making sure the customers have the supplies, they need the topmost priority and we are taking every measure to ensure that they are not in a position that they cannot be successful.
Tore Svanberg: My follow up, you indicated that infrastructure is going to be up strongly especially with wireless backhaul ramping. Could you elaborate a little bit on that? Is that a specific program or is it multiple customers and any regions of note?
Kishore Seendripu: So, on the wireless backhaul side, right, I mean, we will be now have fully absorbed Huawei impact is what I've concluded, and so really resuming strong growth back in Q1 is really indicating and the offset in designing we have done at certain key customers, Tier-1 customers that are beginning to ramp primarily on our RF transceivers. And at the same time, we're also seeing increased demand for our backhaul modem products. So I think that it's not one customer, it's multiple customers with the exclusion of Huawei in the mix, which is unfortunately a huge revenue loss for us. But that's now in the rearview mirror.
Tore Svanberg: Just one -- squeeze one last one. And if you look at tri-mode, WiFi, I assume we're still in the very early innings of that upgrade cycle, right?
Kishore Seendripu: Oh, yes, tri-mod WiFi, how all these markets play out first? You start in some consumer retail shelf device, and then it goes into the handsets. And then, finally it makes its way into the operator platforms, right? And so, we're in the early phase, but having said that, the WiFi 6E already contemplates the new bands in 6-gigahertz, it's really effectively tri-band. However, there are changes in the way it works that involve the bass bands. We're really in the early phase of the access point of evolution of tri-band, both across the board, whether it's client side or access side. So and we'll be in a great position to execute on that because as I said, we already got the certification of the WiFi 6E. And we feel, we're in a very good position and we'll have the best silicon we can for the platform in a timely manner.
Operator: Our next question comes from the line of Alessandra Vecchi with William Blair.
Alessandra Vecchi: Hi, just a couple of questions. Steve, any chance you can give us some color on how you view the growth rates for the different segments going forward?
Steve Litchfield: Well, so in our prepared remarks we did include kind of directionally what we saw coming. I mean, I do think infrastructure is going to be exceptionally strong in Q1 as that business recovers. I mean, post the weakness that we saw in Q4, Kishore just spoke about the backhaul. But I mean, we also see some of the HBA businesses recovering. And so there's other components of that that will definitely see pickup in Q1. Broadband, I do, mentioned that as well, I see some modest improvements there in Q1, which is really counter to what we typically see, we usually would see a weaker Q1 and so I see that slightly up, and then, connectivity, probably flat to slightly down. We had an exceptionally strong quarter in Q4. And so, we've just got a little bit of digestion that happens there. But I'm really excited about that business and the growth that we would expect to see throughout the year. And then, industrial multi-market, a weak Q4, which we had talked about previously, right, but, frankly, going into 2021, I see the channel inventory levels have come down quite a bit and demand is definitely picked up. So I see that probably flat to slightly up in Q1. So some of that reiterating from our prepared remarks, but hopefully that's helpful.
Alessandra Vecchi: Yes, that is. But I was actually sorry, I should have been clearer. I was actually thinking more [Technical Difficulty] basis particularly maybe further connectivity market?
Steve Litchfield: Okay. Yes, my apologies, if I misunderstood that. I mean, look, connectivity and infrastructure are both really big investments that we've made, we expect to see substantial growth, they are big markets, right? Whether it be WiFi, driving some of the connectivity, markets, Ethernet. I mean, those are big growth drivers that should grow solid double-digit growth for a while to come, especially with the newer products that are coming out. I mean, the same thing applies on the infrastructure side, where we've described and talked about similar market dynamics with some of the newer products. And I don't think I mean, with regard to the broadband segment, as well. I mean, that's probably reflect back on some of our commentary that we've made throughout the year. I mean, that's still kind of a load, potentially a mid single-digit grower. And then, industrial multi-market would be consistent with what we've said, historically growing around the rate of GDP.
Alessandra Vecchi: Okay, that's very helpful. Thank you. And then, just on a more housekeeping question, Can you just update us on how to think about operating expenses, as we progress through the year? Should we sort of continue to expect OpEx down in Q2, and then, continue to migrate down a little bit? Or is there any change to your previous commentary there?
Steve Litchfield: Yes. So look, I mean, I'll give you a little bit of color because there's some moving parts, I mean, we don't like to guide more than one quarter out, just kind of given the changing world that we live in. That being said, look, we've got a lot of integration efforts that are ongoing. We've mentioned some of the transitional expenses that we have between us and Intel that continues throughout Q1. And so, those will start to come out in Q1. And so, we will start to see some improvements in the back half of the year. Due to Intel, we do have some mass expenses that will contribute in Q2 and to some degree in Q3. So we'll see that pick up. And then hopefully, by the end of the year, we'll see more of these Intel expenses and some of our integration efforts really pay off and you'll see kind of the exit of the year. That's pretty good. I think you'll see some nice improvements throughout the year on the OpEx side.
Operator: Our next question comes from the line of Quinn Bolton with Needham & Company.
Quinn Bolton: Congratulations on the nice results and the outlook. I guess, my first question, Steve, you talked about these supply constraints. And it certainly sounds like it's limiting your ability, perhaps in the near term, wondering if you think you're leaving some revenue on the table as a result of the supply constraints in Q1? And I assume that most of that demand probably is non perishable. And so the extent you're leaving some demand on the table in Q1, does that push into Q2 and Q3 and set you up potentially for higher sequential growth through the year? Or would you still expect sort of a pause in the broadband and connectivity businesses after your strong Q4 and Q1, your pause kind of in Q2?
Steve Litchfield: So clearly, we're working very hard on these supply constraints. It absolutely limits kind of our guidance in Q1. I mean, your specific question, does that push out? I mean, I think the reality is, it probably does. And so I think we're going to, we'll do all that we can, will that mitigate? So my -- we talked a little bit about typical seasonality and kind of what's going on in the world today. I think we -- I think a lot of folks that kind of anticipate is seeing that slowdown happen in Q2 for your comment, right? And that, we would typically see the seasonal softness in Q1, but it seems to be shifting to Q2, which I think we don't just agree with. We've seen incredible demand over the last six to nine months. And so it would be logical to see some of them will pause. The supply constraints, pushing out, we will mitigate some of that. I do agree with that.
Quinn Bolton: Great. And your commentary around your lead customer on the 400G [RAN] [ph] seems to be kind of increasingly optimistic, just maybe I'm reading too much into your tone, but it seems like you guys are more excited about that opportunity. What's leading needs to kind of the more bullish statements around to kind of the timing and perhaps size of that ramp and the lead customer?
Kishore Seendripu: So, I think that from our point of view, this has taken far longer than it should ever have. So it seems the bottlenecks at the lead operator, customer, data center customer, will allow them to qualify, the whole intra qualification process that they put each module vendor through, and it seems it's our turn to get our module vendors through the process now. So the fact that you're at that fees, implies and then the bottleneck has opened up. So we feel optimistic that when the real ramp gathers momentum we will be participating in that. Also, I think, in general, if you look at the dynamics of the optical high-speed to get data to the market, the increasing consolidation that's going on in the marketplace, really proves the thesis that, a high performance, aggressive high technology capability, makes even capable of that we bring to bear is, really the call for the day, right. And so, we feel very good about where we are positioned not just with our 400-gig offering, but also with 100-gig, and then we'll be the world's first one to do a 5-nanometer CMOS Keystone product as we call the 800-gig product and nobody will have that product and there will be a lot of derivatives to the product, whether it is pluggable market or go back to its optics that may be a trend five years from now. I think we're very, very well positioned. I think our portfolio has finally come to mature where we become very interesting to everybody.
Operator: Our next question comes from the line of Ananda Baruah with Loop Capital Markets.
Ananda Baruah: Yes, congrats on a solid result and the good start to the year. Thanks for taking the question. Kishore, Steve, can we just go back to the comment you made a moment ago about sort of anticipate -- I'm paraphrasing, in anticipation of 2Q June Q, maybe slow down in the broadband trend, maybe that gets offset to some degree by the relieving of the supply constraints, would love context just around why the view of Q2 slowdown actually developed in the first place? And one of the questions, I was going to ask you is thoughts on like through the year from the at home trends, but I do just love the contacts that leads to thought process that 2Q, there isn't sort of meaningful slow down? And then I have a follow up after that.
Kishore Seendripu: I guess I'm not sure kind of where you're coming from. So the Q2, so we've seen significant strength on the broadband side. And I think that business is performing extremely well, demand has been extremely good. And so, we've been very pleased with that. I think the market was kind of anticipating that to slow down a bit, which I think we would not disagree with that at all. That being said, the demand continues to be extremely strong. And we talked a lot about the content increase; remember that our content increase is going up, on the order. I mean, typical some of these boxes are running at $15 to $20. And now you're seeing these things, our content has the potential to capture up to $30. And even in some cases above that. So that's extremely positive. The share gains is the other one that has continued to go well, for us. I think if you look over the last 18 to 24 months. I mean, we've struggled on the share; we've dropped kind of below that typical 50% level. And so, we've been regaining that. And so, a lot of these numbers, may appear like they're stronger than what was expected. But this is really making up share gains that we have executed on as well as bringing in these content increases. So these are substantial gains that we're excited about, we can continue. I think this also adds to our enthusiasm on broadband as well as connectivity over the long-term growth rate of the business right. And that, we've kind of broken out this way, so you can see that connectivity piece in particular that'll demonstrate kind of the growth in WiFi as well as Ethernet as going forward. So what we want to point out that, we are in the early phase off for our connectivity attached to our SoC platforms and then as our WiFi product has just started attaching onto these platforms. So that is a very, very important point. So we expect growth to come from BOM content increase quite meaningfully. And the share gain is a very, very important factor. So I think some of the thing that could be missed in this scenario of supply constraints and some presumed expectation of old bookings, really misses the fact that we are growing through shared gains and content increase, and no unusual events that are a one-time event for us. This is going to be a steady drumbeat of growth in both broadband access and connectivity for MaxLinear.
Ananda Baruah: Yes. I appreciate that. Because really what I'm trying to just get make sure that that I have a clear view of, because I totally there on the content increase on the share gains aspects of the story. And then, so for the sort of the market component. Are you guys, is it, I know, you're not going to give quarter guidance. But I want to make sure this distinction I'm clear on, distinction between it is the MaxLinear perspective that there will be a slowdown in June quarter from at home, or is that, is it sort of just, has it become just sort of the accepted perspective? Or are there some of your main OEMs that are telling you that hey, listen, this is actually what's going to take place. I don't mean to be long winded. But I think the longer we get into this, we're in February now. [FMs] [ph] not slowing down yet, right? And so I want to see if there's something that you're actually seeing that's causing you to say, hey, listen, guys, we think it starts in like April, which is only like eight weeks away right, versus, we're just sort of saying, hey, listen, like sooner or later, it's going to start to slow down. And we think that in June quarter it could happen. I know I'm being long winded. But I want to make sure I'm clear on the distinction behind the June quarter comment.
Steve Litchfield: So I mean, so probably the best way to answer this is that we're not going to answer. And we're not going to give guidance for Q2. I mean, demand is exceptionally strong, we expect that to continue throughout the year. And we're really pleased actually, with the content that we've been able to capture the share gains that we've been able to capture. And so, I look at there's kind of a new normal at MaxLinear, if you will, right? I mean, what we've kind of viewed historically, I mean, the whole world has changed. We're able to capture a tremendous amount of this BOM now that we've never had access to, historically, right? And so that's really been a game changer. And we're working closely. I mean, Kishore talked a little bit about the customers earlier. But the content increase, and the opportunity that we have going forward is incredible for MaxLinear. That being said, I mean, look, we're going to keep working through these supply constraints and we're going to do our best for our customer to be able to address that demand level that we can hit.
Kishore Seendripu: I think, I once again hover back to think, our growth story is very company specific drivers of growth. And we are going to guide based on those specific and those specific as Steve mentioned look very positive. And regarding the BOM part, it leads to a whole different dialogue with customers now, strategic partnerships on their future, investment needs on their side, and they're partnering with us and in the consolidated world, we deal with a huge role to play in terms of -- in this marketplace.
Operator: Our final question comes from the line of Tim Savaggeaux with Northland Capital Markets.
Tim Savaggeaux: At long last, well, just to summarize, there was this pandemic, everyone started working from home, cable subscribers went through the roof. And that might normalize just to address the previous 20 minutes on the question there. Let me move on to a couple of my own and maybe I'll make it a little clearer. Do expect Q1 to be your peak revenue quarter in 2021?
Steve Litchfield: Look we're very excited about the position as we've been talking about. I appreciate your comments well made. Look execution is going extremely well right now in a pretty difficult environment, right? Demand levels that the company has never seen. And but we're doing a great job. I mean, Kishore's previous comments about the customer right now, we really -- the game has changed tremendously and so our relationship with the customers have really improved. And we're very excited about the market and the opportunity that we have before us. On the broadband, the Intel side, but frankly, we're also continuing to move nicely along on the infrastructure outlook, right? I mean, this has been a long investment cycle. And so we're very optimistic going into 2021, about our optical opportunities as well as the 5G opportunities.
Tim Savaggeaux: Got it. And let's dig into some of those quickly, first kind of housekeeping. But quite important, I wonder if you could address 10% customers for either the quarter or the year, in terms of in the aggregate or individual concentration or whatever you're willing to share?
Steve Litchfield: Yes. We did have three 10% customers in the quarter.
Tim Savaggeaux: Okay, that's it. That's fair enough. And final one for me. You mentioned somewhere along the line opportunities related to 10-gig PON. And I assume that refers to kind of the CPE or client side of the wire, but maybe not, I think there might be some infrastructure opportunities. We're hearing a lot about growth in 10-gig PON here in '21. And I'm wondering how material a driver that could be for you guys, in addition to what you're doing in cable.
Kishore Seendripu: So the great news is 10G PON, we're just starting to ramp and shift because we got some major design wins. And those design wins and ramps will happen throughout '21, '22. And, so it's 10G PON is going to be a very meaningful broadband growth story for MaxLinear, having said that, the revenues are all in the CPE client side. We don't have any infrastructure to 10G PON offering. So I think that should answer your question on that. So we totally agree that 10G PON is going to be a phenomenal growth story for years to come as the telcos are growing their networks. And copper has lost its conductivity, if you will, right? So I think we are very excited that we are one of the world's premier gateway platform for PON applications. And even as we speak, they're shipping actually. And that's where the demand is quite substantial. And we're trying to manage our supply situation on that front as well.
Operator: We do have another question from the line of Richard Shannon with Craig-Hallum.
Richard Shannon: I apologize for any background noise. I'm out in the public here. I guess a two part question on PAM4. First of all, can you give us a sense of when you are expecting to see the contributions and revenues from your 100-gig PAM4? And then, just want to clarify on the 800-gig 5-nanometer project you are talking about? Are you saying you're the first one in the market with those sampling? Or if not, can you kind of discuss the competitive environment as you're seeing it right now? Thanks.
Kishore Seendripu: So as we see the competitive environment right now, on the 800 -gigabit PAM4 DSP, in 5-nanometer we expect to be the first ones to be sampling in the marketplace. So that gives us a nice flagship leadership advantage, an edge with respect to the rest of the folks. And so we're not aware, based on our knowledge, right, who else is going to be there in that timeframe. So on the timing for the 100-gig PAM4, we expect it all to be in the same timeframe around 400-gig because they are in the same design cycle qualification validation, though, there may be different OEMs or module makers who would be shipping those. I just want to note that the 100-gig is not just that is in the market, it has got a larger application than just -- than directly to the data center folks. There are other OEMs, who would be buying these kinds of products.
Operator: We reached the end of our question-and-answer session. Now, I'll turn the floor back over to management for any closing remarks.
Kishore Seendripu: All right. Thank you, operator. We will be participating in the following upcoming conferences; the Morgan Stanley TMT Conference on March 3; The SIG Ninth Annual Technology Conference on March 10; Loop Capital's Inaugural Investor Conference, on March 11 to 12th; ROTH 2021 Conference in March 16. Just want to remind everyone that all of these conferences are virtual but we hope to connect with many of you there. With that being said, we thank you all for joining us today and we look forward to reporting on our progress to you next quarter. Thank you very much.
Operator: This concludes today's conference call. You may now disconnect your lines at this time. Thank you for your participation and have a wonderful day.